Operator: Ladies and gentlemen, thank you for standing by. My name is Desiree, and I will be your conference operator today. At this time, I would like to welcome everyone to the Global Ship Lease, Inc. Fourth Quarter 2025 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. If you would like to ask a question during this time, simply press star followed by the number one on your telephone keypad. If you would like to withdraw your question, please press star one again. I would now like to turn the conference over to Thomas Lister, Chief Executive Officer. You may begin. Thank you very much.
Thomas Lister: Hello, everyone, and welcome to the Global Ship Lease, Inc. Fourth Quarter 2025 Earnings Conference Call. You can find the slides that accompany today’s presentation on our website at www.globalshiplease.com. As usual, Slides 2 and 3 remind you that today’s call may include forward-looking statements that are based on current expectations and assumptions and are, by their nature, inherently uncertain and outside of the company’s control. Actual results may differ materially from these forward-looking statements due to many factors, including those described in the Safe Harbor section of the slide presentation. We would also like to direct your attention to the Risk Factors section of our most recent annual report on our 2024 Form 20-F, which was filed in March 2025. You can find the form on our website or on the SEC’s website. All of our statements are qualified by these and other disclosures in our reports filed with the SEC. We do not undertake any duty to update forward-looking statements. The reconciliations of the non-GAAP financial measures to which we will refer during this call, to the most directly comparable measures calculated and presented in accordance with GAAP, usually refer to the earnings release that we issued this morning, which is also available on our website. I am joined, as usual, today by our Executive Chairman, George Youroukos, and our Chief Financial Officer, Anastasios Psaropoulos. George will begin the call with high-level commentary on Global Ship Lease, Inc., and then Anastasios and I will take you through our recent activity, quarterly results and financials, and the current market environment. After that, we will be pleased to answer your questions. So turning now to Slide 4, I will pass the call over to George. Thank you, Tom.
George Youroukos: And good morning, afternoon, or evening to all of you joining us today. Both the supportive supply and demand trends and heightened geopolitical uncertainty that we have previously highlighted remained firmly in place throughout 2025 and then, in recent days, have clearly ratcheted up even more. Tariffs, the prospect of new port fees in the US and elsewhere, security concerns in and around the Red Sea, and now the situation in Iran shifting from tense to violent conflict—the list goes on. These and other factors have all combined to increase unpredictability and volatility, fundamentally alter and fragment trade patterns, and make supply chains more inefficient as a consequence. At the same time, and perhaps surprisingly, given the noise, aggregate global containerized trade increased in 2025 by 5%, with import volumes to the US also growing year over year. In this environment, demand for midsize and smaller container ships has remained remarkably strong. As a result, we have continued to lock in charter coverage at attractive rates, with $2,240,000,000 in contracted revenue over the next 2.7 years, with 99% contract coverage for 2026 and 81% in 2027. Maximizing optionality remains a key focus for us in order to both mitigate risk and seize value-accretive opportunities. With this in mind, we have transformed our balance sheet, reduced debt, and increased liquidity, all serving to bolster our resilience and agility in the process. This progress has been reflected by the affirmation of our strong credit ratings by leading rating agencies and has also supported payment of a quarterly dividend, which we raised again with a dividend paid in December 2025. On an annualized basis, we now pay $2.50 per common share. Another thing at the front of our minds is strategic but highly selective fleet renewal. We were pleased to announce a transaction in December for three vessels that make our fleet younger and larger, and replace some of our aging cash cows, which we had previously monetized at a cyclically attractive flat price. Tom will discuss this more in a few minutes, but we see these as great ships that are in the post-Panamax sweet spot, acquired at a fantastic price, de-risked right out of the gate, and with compelling upside potential. In short, just the sort of deal for which we keep our powder dry. Taken together, this progress and these successes are possible because we have worked diligently to maximize optionality in order to manage risks and seize opportunities in a cyclical industry and a turbulent world. On Slide 5, we thought that it would be helpful for newer investors, and a nice refresher for our friends who have stuck with us and made money with us over time, to put our current status in some historical context. Over the past five years, we have transformed the business and dramatically increased all of our key earnings and cash flow metrics while simultaneously de-risking our balance sheet. And we have returned capital to shareholders both by way of opportunistic share buybacks and by introducing a dividend, which we have repeatedly upsized as we made progress on delevering and building our contract cash flow. And our share price has responded accordingly, tripling over the period. The profound improvements that you can see here are a testament to a dynamic capital allocation policy, the discipline and patience to stick with it through the cycle, and the ability and confidence to seize opportunities as they arise. We fully intend to continue building on this track record, generating shareholder value by making Global Ship Lease, Inc. even more competitive, robust, and resilient for the long term. With that, I will turn the call over to Tom.
Thomas Lister: Thank you, George. Hello again, everyone. Please now turn to Slide 6, where you will see our diversified charter portfolio. As of December 31, we have over $2,200,000,000 in forward contracted revenues, with 2.7 years of remaining contract cover. Throughout 2025 and the first two months of this year, we added 52 charters, including options exercised, for $1,260,000,000 in additional contracted revenues. So it has been a pretty good year. Turning to Slide 7, we take a look at our dynamic capital allocation policy, through which we are able to mitigate the risks and capitalize on the opportunities inherent in the natural cyclicality of our industry, not to mention the so-called black swan events the industry seems now to be confronting on a regular basis. We have delevered our balance sheet to reduce risk and build equity value. Our increased cash position has made us more resilient and capable of handling whatever may arise, from upheaval in the Middle East, to tariffs, to an evolving regulatory landscape, and, of course, to opportunities as they appear. And, as always, a top priority is returning capital to shareholders, and in late 2025, we upsized our dividend yet again to reach $2.50 per share on an annualized basis. We aim to provide investors with a liquid and stable platform from which they can participate in the shipping cycle, maximizing access to upside opportunities while minimizing exposure to downside risks. Slide 8 shows our patient and disciplined approach regarding investments. As you can see from the chart, we have a strong track record of buying ships during market downturns when asset values are low and then contracting them on super lucrative charters to lock in the good times of the upcycles. It is easy to say “buy low,” but it is much more difficult to do, especially as access to capital also tends to be constrained during downturns. That being said, I would underline the following points. First, our capital allocation policy is dynamic and has us well prepared to pounce on value-accretive opportunities when they arise. Second, our relationships throughout the industry give us insight into nascent deal opportunities, often before they are known in the broader market. And third, our combination of long-term focus and balance sheet strength puts us in a position to take a holistic and through-the-cycle view of risk, returns, and option value. Which brings us to Slide 9. On December 1, we announced the purchase of three high-specification, fuel-efficient 8,600 TEU container ships that were built in 2010 and 2011, and had already been fitted with valuable eco-upgrades by their previous owners. This deal was executed on short notice with cash on hand, is de-risked from the get-go, and offers high upside potential in the years to come. Moreover, as these are sister ships to high-demand, high-earning ships already in the Global Ship Lease, Inc. fleet, we have the added advantage of extensive firsthand knowledge of their operating and commercial profiles. By purchasing the ships with below-market charters attached, we were able to achieve an aggregate purchase price of $90,000,000, which is not far off what a single ship would cost charter-free, meaning this is essentially a three-for-the-price-of-one deal. Added to which, their aggregate scrap value alone is around $40,000,000, and long-term historic average charter rates for ships like these are over $40,000 per day. So we are looking at just the sort of low-risk, high-upside-potential deal we like very much. And there is a nice symmetry in that we funded this fleet renewal almost to the dollar with proceeds from the sale of much older, smaller ships that we had monetized at cyclically high values during the course of 2025. With that, I will pass the call to Anastasios to discuss our financials. Anastasios?
Anastasios Psaropoulos: Thank you, Tom. Slide 10 shows our finance highlights in 2025. I would like to emphasize a few key takeaways. Full-year earnings and cash flow were up compared to 2024. Our cash position is $637,000,000, of which $164,000,000 is restricted. The remainder ensures that we can fully cover our covenants, working capital needs, and manage the potential financial implications of geopolitical issues, which seem to be arising with increasing frequency and intensity. It also provides dry powder from a position of almost net zero debt, both for CapEx to keep our existing fleet commercially relevant and for disciplined investments in fleet renewal when the right opportunities emerge. And all of this without compromising our ability to reliably pay a healthy and recently enlarged dividend. The latest $85,000,000 refinancing has pushed our average debt maturity to 4.5 years and our blended cost of debt down to 4.49%. We also realized a $46,200,000 gain from the sale of four older ships, and we have strong credit ratings from the leading credit agencies. Slide 11 highlights our progress in delevering our balance sheet and building equity value. The graph on the left shows our lower outstanding debt, which stood at $950,000,000 at the end of 2022, was under $700,000,000 at the end of 2025, and is on track to be well below $600,000,000 by the end of 2026. The graph on the right tells a similar story, but with broader context. We have worked diligently to reduce our leverage from 8.4x in 2018 to 0.5x today. These comprehensive efforts are shown further on Slide 12, where we have lowered our borrowing costs from a blended 7.56% in 2018 down to 4.49% in 2025. We have also maintained low breakeven rates through multiple years of inflation by aggressively reducing our interest expense. This keeps us both competitive and resilient in any market environment. With that, I will turn the call back over to Tom to discuss the market and our fleet.
Thomas Lister: Thanks, Anastasios. On Slide 13, we put our fleet in context, restating our focus on midsize and smaller container ships between 2,000 TEU and 10,000 TEU. In contrast to the really big ships, which require specialized port infrastructure and tend to be constrained to the big East-West “mainlane” trades, midsize and smaller container ships are highly flexible and can be employed worldwide without being reliant on or captive to any industry or country. As such, they provide the liner companies, our customers, with valuable optionality at a time when trade patterns are in flux. And, by the way, it is often overlooked that roughly three-quarters of containerized trade by volume already takes place in the non-mainlane North-South and intraregional trades, like intra-Asia. We will discuss this further over the coming slides. On Slide 14, we turn to the situation in the Middle East, a subject that is, of course, top of mind for us as it is for many across the shipping industry and beyond. We will not pretend to be geopolitical analysts or forecasters here, but we can provide some facts and context. Fundamentally, two key Middle East shipping chokepoints, the Red Sea and the Strait of Hormuz, are now more or less closed at the moment. First, the Red Sea and Suez Canal, through which around 20% of containerized trade volumes would normally transit. Here, the initial green shoots of cautious optimism have been decisively cut back, with the Houthis calling for renewed vessel attacks in the southern Red Sea. Even before this setback, a large majority of transits continued to go the long way around, around the Cape of Good Hope, which absorbs around 10% of global fleet supply in the process. Recent updates suggest that this is likely to remain the case for the time being. The new chokepoint to address is the Strait of Hormuz, through which shipping traffic has pretty much ceased since the outbreak of hostilities, with multiple major regional ports suspending operations in part or in full. While it is more famously a gateway for global energy flows, a normal year would also see between 3%–4% of global container volumes move through the Strait of Hormuz, serving ports such as Jebel Ali in Dubai, which is the ninth-busiest port in the world, as well as Doha, Abu Dhabi, and Dammam in Saudi Arabia. While the overall volumes themselves are not huge, the knock-on effects are much bigger given, among other things, the importance of Jebel Ali as a transshipment hub and the challenges of serving Gulf destinations by alternative routes. So this is a big deal. Container supply chains, which were already complex, now have additional challenges and inefficiencies to confront. We will see how the liner companies adapt, but we are, of course, in the very early days of all this. In summary, the situation is highly dynamic, and the longer-term implications are unclear. However, the paramount concern for the industry amid the turmoil is, and must continue to be, seafarer safety. Turning to another source of disruption, on Slide 15 we look at tariffs. While the sands keep shifting on this issue, looking back to February, tariffs under the first Trump administration could be at least directionally instructive in how things develop moving ahead. As expected, the tariffs in 2019 did indeed result in a reduction in direct trade between the US and China. Perhaps unexpectedly, however, there was an increase in demand for midsized and smaller container ships during this period as supply chains shifted and decentralized. Intraregional trade, particularly intra-Asia containerized trade volumes, rose. Trade networks grew more complex and more inefficient, and those conditions tend to be supportive of earnings for providers of shipping capacity like Global Ship Lease, Inc. Slide 16 is where we cover some of the other geopolitical and regulatory trends affecting the shipping world. This slide is backward-looking, as who knows what other surprises 2026 has in store. USTR port fees were introduced by the US in October 2025, and while they caused some disruption, the industry was able to adapt to the new circumstances given the lead time with which they were announced. However, China’s port fees did not offer the same lead time and were much more disruptive as a result. Fortunately, the port fees from both countries were suspended until the fourth quarter of 2026. While these policies and their implications have been deferred for now, the situation was a reminder of how fast things can change and how optionality is more valuable than ever within the current global framework, both for us and for our customers. Notably, the White House’s recently unveiled Maritime Action Plan points to the possibility of future such port fees. Along with the rest of our industry, we will certainly closely monitor future developments on this front. The IMO’s net zero framework faced a similar delay to 2026. This decision is expected to provide a boost to existing conventionally fueled vessels such as those in the Global Ship Lease, Inc. fleet. Amidst this heightened geopolitical uncertainty, we will stay prudent, disciplined, and agile, doing our best to maintain and to leverage the optionality at our disposal. On Slide 17, we highlight supply-side dynamics and scrapping trends, where little has changed from last quarter. Both idle capacity and scrapping activity have remained near zero. With minimal slack in the system due to fragmented and inefficient supply chains, the charter market rate environment has remained strong, and charterers have proven willing to pay attractive rates even for late-in-life ships. Unsurprisingly, owners have responded by keeping those ships on the water and profitably in service for as long as possible. Slide 18 shows the order book, which has grown meaningfully in recent years, but importantly, mostly in the larger vessel segments where Global Ship Lease, Inc. does not participate. For ships over 10,000 TEU—in other words, the really big ships—the orderbook-to-fleet ratio stands at 55.5%, which drives the overall orderbook-to-fleet ratio to almost 35%. However, for the size segments below 10,000 TEU, the ones relevant to Global Ship Lease, Inc., that number halves to 16.9%, with deliveries spread over the next five years or so. In addition to the smaller order book, if we were to assume all ships 25 years or older were scrapped through 2030, the sub-10,000 TEU fleet would actually shrink more than 6%. If supply remains low and rates remain high, we will be happy to continue locking in coverage at attractive rates. If, on the other hand, the market were to experience a normalization or even a downturn, we would expect the arrival of new ships to be offset, in large part at the very least, by a sharp rise in scrapping activity. Similarly, we would expect such a scenario to yield interesting investment opportunities for a patient and well-capitalized owner such as Global Ship Lease, Inc. We take a look at the charter market on Slide 19, and it is important here to remember that our daily breakeven rate is just over $9,800 per vessel per day, which is well below market rates. In these supportive conditions, we have been hard at work locking in as much charter coverage as possible, to the tune of $2,240,000,000 over the next 2.7 years or so, providing good forward visibility and insulation against any downside turbulence. And on that note, I will turn the call back to George on Slide 20.
George Youroukos: Thank you, Tom. To summarize, we have continued building our forward visibility on cash flows, now with $2,240,000,000 in contract revenues over 2.7 years, with 99% coverage for 2026 and 81% for 2027. Optionality remains a core focus. Even with the deferral, for the time being, of US and China port fees and of the IMO’s net zero framework, the geopolitical and regulatory environments remain volatile, and we are constantly at work to make Global Ship Lease, Inc. more resilient, robust, and able to capture opportunities. The current situation in the Middle East and around the Strait of Hormuz, of course, adds more complexity to a situation that was already highly complex and dynamic. The supply chains have become fragmented, decentralized, and increasingly inefficient, which drives further demand for midsize and smaller container ships. We have successfully delevered, pushed down our cost of debt, extended our average debt maturities, and lowered our daily breakeven rates to well below market rates. Our fortress balance sheet, which brings us close to being net-debt neutral, positions us well for the opportunities and challenges of the market. We increasingly look to renew our fleet in a disciplined, prudent manner to support earnings now and into the future. And we always look to return capital to shareholders. To this end, we increased our quarterly dividend in 2025, now up to $2.50 per share on an annualized basis. Finally, looking back on the last five years, it is gratifying to see the credit rating agencies acknowledge the progress we have made. Much more gratifying still is to see the stock price triple over the same period, and we will do our best to ensure that positive momentum continues. Now, with that, we will be very pleased to take your questions. Thank you.
Operator: We will now begin the question-and-answer session. If you have dialed in and would like to ask a question, please press star then the number one on your telephone keypad to raise your hand and join the queue. If you would like to withdraw your question, simply press star one again. If you are called upon to ask your question and are listening via speakerphone on your device, please pick up your handset to ensure that your phone is not on mute when asking your question. Again, press star one to join the queue. Our first question comes from the line of Liam Burke with B. Riley Securities.
Liam Burke: Yes, thank you. Hi, George, Tom.
George Youroukos: Hi, Liam.
Liam Burke: Hello. This is probably bad timing for this question, understanding the geopolitical situation both in the Red Sea and the Strait of Hormuz. But the gap between charter and freight rates is staying wide. All things being equal, is there anything that you would anticipate to have those movements converge, in terms of freight and charter rates converging?
Thomas Lister: Good question, Liam. I will have a crack at it and no doubt George will add to it. It is very difficult to comment on the freight market side of that equation, which is obviously much more responsive to day-to-day events, given the contract cover is much more limited in terms of duration. However, I can comment on the charter side of things. What we are seeing is that appetite from charterers remains to lock in charters at attractive rates. So, at least for the time being—and it is very difficult to predict anything in today’s slightly crazy world—but for the time being, we are seeing our customers looking to continue to lock in charters at high rates for meaningful durations. Of course, it is worth highlighting at this stage that 99% of our positions for 2026 are already contracted, and over 80% for 2027 are already contracted, but broadly speaking, there is still charter market appetite.
Liam Burke: Great. Thank you. Your leverage ratios are low. You pay a very healthy dividend through the cycle. What about the cash, and how do you see allocating it this year and next year?
Thomas Lister: Sure. In this cyclical industry, the way to make genuinely attractive returns for our shareholders is making sure that we have cash to move on opportunities—ideally at the bottom of the cycle, when no one else has capital. That is when you make the most money for shareholders within shipping. So holding that cash on our balance sheet, we see as super valuable in that respect. In fact, the three ships that we mentioned during the course of the call, these three 8,600 TEU ships that we acquired at the tail end of last year, are a perfect representation of that. We went from zero to completion within about 30 days or so on that deal, and you can only do that if you have capital at your disposal, which, happily, we did.
Liam Burke: Great. And I apologize for asking such a specific question, but Anastasios, SG&A jumped considerably. Is there a one-timer in there, or is that just another level to anticipate?
Anastasios Psaropoulos: No. It has to do with the valuation of the incentive plan that we have, calculated in the order we have calculated. It is a non-cash item, and you could see much more detail in our upcoming 20-F.
Liam Burke: Great. Thank you, Anastasios. Thank you, Tom.
Thomas Lister: Pleasure, Liam. Thanks a lot.
Operator: And, again, if you would like to ask a question, press star then the number one on your telephone keypad. Our next question comes from the line of Omar Nokta with Clarksons Securities. Your line is open. Thank you.
Omar Nokta: Hi, guys. Good afternoon. Thank you for the update. You obviously touched on this, Tom. I think—Hi, Tom. I think you talked about this and maybe touched on it also in response to Liam’s question, but just about what is going on in the Middle East and the turmoil and whatnot. There has been clearly a lot of focus on the impact on energy and exports out of the region. But in terms of containers—and presumably it is a lot more of an import market than export, I would think—but just in general, what has been the impact? We have seen a spike in different commodity prices, and we have seen energy shipping rates go through the roof. What have you seen here over the past few days with respect to your business? Have you seen any shift in the freight market dynamics or time charters?
Thomas Lister: I would say not in time charters. The appetite remains, as I mentioned to Liam, from charterers at attractive rates and for attractive durations. I think in the freight markets, the industry is just struggling to adjust to this massive curveball. Although only 3%–4% of containers actually flow into or out of the Persian Gulf, there is a tremendous volume actually transshipped there, particularly in Jebel Ali. So although the overall numbers are comparatively modest in percentage terms as far as global trade is concerned, the ramifications through the liner company networks are considerable. I think one analyst calculated that roughly 10% of the global fleet actually under normal circumstances calls at ports within the Persian Gulf. So, although the volumes in terms of import and export are not huge, the implications for liner companies’ networks are much bigger than that, and that confusion and complexity breed disruption in the networks, which breeds inefficiency, which breeds the necessity for more ships. That is what we are seeing so far, but it is very early days. George, do you want to add to that?
George Youroukos: Yes. What I would add is that we see clearly the statement of Houthis that they will resume their attacks in the Red Sea, so the Red Sea is out of the question right now. There was a process where planners were returning slowly, but right now this is not the case. And then the second thing—we should see this very similar to COVID. There is going to be a big region that is not going to be serviced by ships until this conflict is over or at least this conflict is to a point where ships can cross the Hormuz. There is going to be a big starvation of cargos in the region. As you can imagine, this is going to create disruption, and I think it will lead to raising the freight rates at the point when passing through the Hormuz is possible but not clean-cut as it was before the war. I think the freights are going to go up for the ships that are going to go through, and once the Hormuz is open completely, there is going to be a lot of cargos that need to go that have not been going for a while, and hence backup trade in the ports. They are going to be waiting, and all of that—a similar mini situation over the region, a mini situation of COVID, I would imagine. So if you ask me, I think the earnings of liner companies should increase for a period of time, and the fleet is going to tighten further for a period of time again.
Omar Nokta: Thanks, George. That is quite helpful. And thanks, Tom. You answered the second question in there for me, so thank you. And then maybe just one final quick follow-up on the balance sheet. I noticed a big jump in the long-term restricted cash, going from $23,000,000 to $113,000,000 quarter over quarter. Is that actual restricted cash due to a financing, or is that just a long-term bank deposit?
Anastasios Psaropoulos: It is actually, Omar, a revenue received in advance. Like the previous time that we had in our account, we have received a revenue received in advance, which has to be restricted, and it will be released following the service of the charter.
Omar Nokta: Okay. And how long of a duration is that?
Anastasios Psaropoulos: If I remember correctly, it is three years.
Omar Nokta: Okay. Okay. Thanks, Anastasios, and thanks, guys. I will turn it over.
Thomas Lister: Omar, I think, just to correct, I think it is actually five years. Five years.
Omar Nokta: Okay. Thank you.
Operator: There are no further questions at this time. I would like to turn the call back over to Thomas Lister for closing remarks.
Thomas Lister: Thank you very much, operator, and thank you, everyone, for joining today’s call. We look forward to regrouping for our 1Q earnings once they are ready. Stay safe. Thanks for joining. Bye-bye.
Operator: Ladies and gentlemen, that concludes today’s call. Thank you all for joining in. You may now disconnect.